Operator: Good morning. Welcome to VakifBank Audio Webcast Fourth Quarter 2025 Bank-only Earnings Results. [Operator Instructions] I'd like to introduce our speakers for today. First of all, Ms. Ece Yasan Yilmaz, the Head of Investor Relations. But first, Head of International Banking and Investor Relations at VakifBank. I hand you over now to Mr. Ali Tahan. Sir, over to you.
Ali Tahan: Thank you, Rob. Good afternoon, everybody, and welcome to 2025 Q4 Earnings Presentation Conference Call. Without ado, I would like to start with the presentation as usual. In this quarter, as you can see in the first page, we are glad to announce a very strong Q4 P&L as guided and expected. This quarter, we reportedly announced TRY 28.1 billion quarterly income, which brought full year net income number to TRY 70.1 billion, which is up by 73% itself compared to previous year cumulative net income number of TRY 40.4 billion. And during this quarter, we also set aside further TRY 4 billion free provisioning. Without such free provisioning action, our quarterly net income will be even stronger and materialized at TRY 32.1 billion, which is up by 170% on a quarterly basis. Those quarterly earnings are one of the strongest in the peer group in Turkey, and we are very glad to announce such strong numbers. With such P&L numbers, our reported quarterly average ROAE came at above 38%, and it would be even close to 44% in case we wouldn't set aside such TRY 4 billion free provisioning. And those quarterly numbers also resulted full year 2025 year-end average ROAE number at almost 26%. Again, we are also glad to perform average ROAE number, which is in line with our full year guidance number of high 20s. And one last point I would like to take your attention is related to free provisioning profit, which is even up by 90%, which is even stronger than net income annual growth number. And free provision P&L came at TRY 133 billion, which is up by 90%, which is indicating another strong performance during the entire year of 2025. The next page, I would like to take your attention is Page 5 which is one of the best part of the quarter, which is related to net interest margin. As you can see on the right-hand side above chart, quarterly reported net interest margin came very strong at 6% and swap adjusted quarterly net interest margin came at 5.4%, which is up by 2.4 percentage points compared to a quarter ago. So during this quarter, we had a 2.4 percentage point expansion, further expansion in our quarterly net interest margin. And this 5.4% itself swap adjusted net interest margin is also one of the highest again in the peer group in Turkey. And in terms of the driver of such increase in our quarterly numbers, as you can see in the middle of the page, there are 2 main reasons. One of them is obviously related to additional interest income from our CPI portfolio with the full year correction based on almost 33% October to October CPI number, now we enjoyed in total TRY 36.5 billion, which is up by TRY 16.6 billion compared to a year ago, and this is for the full year correction. And therefore, this additional TRY 16.6 billion additional interest income is resulted 150 bps quarterly net interest margin expansion. And the remaining part of 90 bps expansion can be attributable to additional core spread expansion on the TL side. As you can see on the left-hand side below chart, our quarterly Turkish lira core spreads continue to expand and materialized at 5.8%, which was 4.5%. It means that during the quarter, we had additional 1.3 percentage point quarterly expansion in our core spreads on the Turkish lira balance sheet side, which is also outperforming the sector average considering the sector quarterly Turkish lira core expansion of 1.1 percentage points. Such quarterly swap adjusted net interest margin performance brought full year swap adjusted net interest margin also to a very strong number. As of September, as of third quarter end, cumulative swap adjusted net interest margin was in the area of 2.7%. But thanks to such the strongest quarter of the year in Q4, full year average swap adjusted net interest margin further increased to 3.4% area, which is up by 110 basis points compared to average of 2024, which materialized at 2.3%. So in this manner, one of the most eye-catching performance of VakifBank financials can be seen on the net interest margin side. And we were very happy and we were very glad to see such strong net interest margin performance and such a strong increase in our full year swap adjusted net interest margin, and we are closing the year at the top. So that it means also that we are also starting the year of 2026 with a very good base effect actually. The next page, Page 6, is related to fee income. During the quarter, we delivered TRY 19.4 billion fee income. which brought full year net income number to almost TRY 73 billion. And that number itself is up by 56% on a cumulative basis compared to full year of 2024. And this 56% is slightly above than the sector number of 50%. So in this manner, apart from the very strong net interest margin performance, we are also glad to perform another very strong indicator on the fee income side, which are considered as the core revenue generation capacity. So in this manner, net fee and commission income was also strong and came at 56% Q-on-Q. And on the right-hand side, you can also see quarterly and annually lending growth areas ranging from payment systems to cash lending as well as from noncash lending to insurance. And among the fee contribution, of course, payment systems with more than 50% at almost 52%, they were the main contributors to our fee base, which is also in line with the sector average. On the next slide, you can see some numbers related to cost and OpEx side. OpEx -- full year OpEx came at TRY 118 billion, which is up by 61% compared to full year of 2024. OpEx growth came slightly above than the sector average. Sector average was hovering around 53% and our OpEx growth was slightly above that at 61%. However, we maintain to have good level of cost-income ratio similar to last year. This year also, our full year cost-income ratio materialized slightly lower than the sector average. Sector average was hovering around 41% versus VakifBank cost income ratio of 40%. So in this manner, despite slightly higher than the sector average OpEx growth, still we managed to deliver a relatively good level of and stable level of 40% ROAE cost-income ratio. And the next page, Page 8, we can move on to asset side, starting with the lending side. This quarter, quarterly lending growth was much more visible on the SME segment, which is up by 15% and which brought full year growth number to 62%. Apart from SME side, this quarter, we also had good level of lending growth, both on the SME side -- on the retail side as well as on the corporate and commercial side. Retail lending was up by 8% Q-on-Q, which brought full year retail lending growth to 44% and our retail lending growth was slightly lower than the sector average of 50% deliberately, we were much more active on the retail side and non-retail side, and we were gaining on the non-retail segments. As you can see on the right-hand side below, during the full year of 2025, we further increased our market share on the non-retail segment from 13.7% a year ago to about 14%, 14.1%. So during the entire year of 2025, our market share on the non-retail lending side, including SME, including corporate, including commercial and of course, including project finance, increased further by 40 basis points. But equally, we further move some momentum on the retail market share and our retail market share materialized at 8.9% in terms of the currency breakdown, our total lending during the quarter came at almost 10.7% on the Turkish lira front, which is slightly above the market average of 10.3%. And on the hard currency side, we were still growing. Our hard currency lending was up by another 5.7% in dollar terms during Q4, which brought full year FX lending growth at around 25% above the sector average of 19.4%. And in terms of the loan-to-asset ratio, the share of loans and the share of lending in total assets during year of 2025 further increased to 54.3%, which was 50% a year ago. On the next page, you can also see detailed information related to breakdown of loan portfolio in terms of Turkish lira hard currency as well as in terms of loan-to-deposit ratios. This is a regular page actually. The next page is essential and important, which is related to asset quality. On the asset quality side, the headline is NPL ratio increased moderated. As you can see on the left-hand side below chart, we started the year with 1.8% in terms of NPL ratio and material finalized the year at 2.9%. But most of the NPL formation and most of the NPL ratio increase was much more visible in the first half especially in Q4, NPL ratio increase and momentum started to slow down, thanks to both strong collections as well as relatively slow NPL inflow. As you can see, each and every quarter in the year of 2025, our NPL collections increased as well. We started the year at TRY 3.5 billion NPL collection and NPL collections peaked in Q4 with TRY 6.5 million. And in terms of the NPL formation, NPL formation was relatively at the peak level during Q2 and Q3, especially after the restructuring if related to retail portfolio, we started to witness some sort of NPL inflow slowdown. And in Q4, NPL inflows materialized at TRY 17.8 billion. And most of the NPL inflow still came from the retail side. That was even the case for the Q4. As you can see, out of this TRY 17.8 billion NPL formation, around 68% came from the retail side, while the remaining 32% came from the non-retail side, including SME, corporate and commercial segment. Stage II ratios also increased. We finalized the year at 9% in terms of share of Stage II in total lending, which was 7.9% in the beginning of the year. And the last point I would like to take your attention is related to cost of risk. During the full year of 2025, our full year net cost of risk materialized at 128 basis points. Plus on top of that, during the year, we continue to have in total TRY 8 billion free provisioning, which can be released and which can be used at any time in the upcoming quarters, and this is still outstanding in our balance sheet. When we move to liability side, of course, deposits were up by 26% year-over-year, reaching to almost TRY 3.5 billion. One important thing related to deposit side is related to demand deposits. Demand deposits coming from both Turkish lira demand deposits as well as hard currency demand deposits for the first time exceeded TRY 1 trillion level and materialized at TRY 1.1 trillion. And as a result of that, the share of demand deposits in total came 1/3 of total deposit portfolio. And in terms of the Turkish lira hard currency deposits, we are still having Turkish lira deposit portfolio with more than 70% of total deposits are coming from the local currency. In terms of the growth numbers, I mean, during this quarter, we had 10% quarterly Turkish lira deposit growth, again, outperforming the sector average of 9%. And in terms of the hard currency deposits, our hard currency deposits were up by 6.5% in dollar terms, which is also another strong quarter. The next page is related to wholesale borrowings where the details can be seen on Page 13. Total amount of international funding obtained in the year of 2025 exceeded $12.8 billion. In this manner, it was a very successful year, and it was well diversified. It was coming from different funding sources. Of course, especially Q4 was also remarkable via 2 different transactions. One of them was related to fresh DPR. In October, we had additional DPR amount of $1 billion. It was the second DPR transaction of the year, and it was a DPR year actually in total, we issued and we obtained $1.7 billion fresh funding under our DPR program as the biggest DPR bank of the country, we continue to be active DPR issuer bank actually. And another one is related to fresh AT1 issuance, public issuance with the amounting of $500 million with a yield of 8.2%. And this transaction itself was also remarkable, not only for VakifBank, but also for the entire banking sector because of the yield perspective in terms of yield, it was the lowest spread margin issuance among all Turkish banking sector. And on top of those important transactions, we recently announced another 2 important upcoming transactions. One of them is related to World Bank Group IBRD transaction. IBRD Board approved EUR 1.5 billion amount project with the partial guarantee, and it will be materializing and executing soon. And another one was the first ever cooperation with another important international development bank, Asian Infrastructure and Investment Bank. And in December, we also announced fresh $300 million transaction with 10-year final maturity with AIIB and those 2 transactions will also be executed in a very short period of time. And in this manner, indeed, total entire year of 2025 was very efficient and was very a good year in terms of diversity as well as in terms of the different nature of the transactions. The last page I would like to take your attention is related to capital. Capital ratio because of both strong profitability as well as because of the mark-to-market gains under revaluation of our subsidiaries and real estate portfolio further increased. Reported CET1 ratio came at 11.4%, which was 10% a quarter ago. Reported Tier 1 ratio came at 14.4%, which was 12.3% again a quarter ago. And reported total CAR ratio came at 16.7%, which was 14.7% a quarter ago. So in all reported solvency ratios, there was a good recovery and there was good increase. As you can see in the below chart, we had a detailed breakdown in half in a quarter period of time, our capital ratios increased by. Of course, there are 2 important factors. One of them is related to overall profitability. P&L increase resulted in 88 bps positive impact in our total CAR ratio. But more importantly, we also enjoyed additional 100 bps positive impact, thanks to mark-to-market gains obtained from our nonlisted subsidiaries as well as from the valuation impact of our real estate portfolio. Those 2 are the main reasons. And the first -- the third reason is related to fresh AT1 issuance we executed with the amount of $500 million in October. This transaction itself also created 68 basis points positive impact in our total capital adequacy ratio. But of course, these are the reported numbers. As you know, starting from the 1st of January, all of those numbers will be reported without forbearance measures. And without forbearance side, our CET1 ratio as of 2025 year-end was hovering around 10% on a bank-only basis. And that number, that 10% CET1 ratio, just to remind you, a quarter ago, it was hovering around 9% of area. So in this manner, even without forbearance measures level, our CET1 ratio increased by 100 bps just in a quarter period of time. And of course, on top of that, we also have additional free provisioning of TRY 8 billion. And as you know, we are the only big Turkish bank having such free provisioning in our balance sheet. And it is also creating additional 20 bps positive impact in our solvency ratios. And all of those numbers, of course, are bank only and our consolidated numbers, which will be published also next week in terms of capital ratios, our consolidated ratios are also stronger than our bank-only ratios. And you can simply add around 30 bps to our consolidated capital adequacy ratios compared to bank-only numbers and all the details hopefully will be seen in a week period of time. And these are the slides I would like to take your attention. Before leaving the floor to your question, in a nutshell, we would like to also share our expectations and guidance related to full year of 2026. And in this manner, starting with the lending side. On the lending side, Turkish lira lending growth is expected to be at around mid-20s. Hard currency lending growth are expected to be in single-digit territory in dollar terms. So these are the guidance numbers related to lending side, mid-20s Turkish lira lending and single-digit hard currency lending in dollar terms. In terms of net interest margin, and we believe that will be the best part of 2026, we are further expecting recovery and increase in our swap adjusted net interest margin. Just to remind you, full year swap adjusted net interest margin in the year of 2025 came at 3.4% area. And on top of that, we are expecting full year 2026 swap adjusted net interest margin in average to be hovering around 4.5% area which means we are expecting around 110 bps additional increase in our swap adjusted net interest margin. And this swap adjusted net interest margin level of 4.5% will be the best annual swap adjusted net interest margin compared to last 10 to 15 years period of time. So in this manner, indeed, it will be a very strong year for the overall top P&L side. Apart from that, on the fee income side, we are expecting our fee income to be above 40%, four zero. And on the OpEx side, we are expecting our OpEx growth to be above the inflation. So above 40% fee income versus above inflation OpEx growth. On the net cost of risk, our budget suggests full year 2026 net cost of risk to be hovering around 150 basis points net cost of risk. So all those numbers will take us to high 20s average for the full year of 2026. This is the summary related to expectations for 2026. So at this stage, let me stop and let me leave the floor to Rob again to switch to Q&A session. Thank you.
Operator: [Operator Instructions] And I see we have a question from Mr. David Toronto. Please go ahead.
Unknown Analyst: First, could you walk us through your key macro assumptions, particularly inflation and the year-end policy rate assumptions, please? On volumes, your Turkish lira loan growth guidance is meaningfully below your private peers. Are you being conservative? Or do you deliberately plan to give away market share here to focus more on the margins perhaps? And lastly, could you talk about your key drivers of your NIM expectation for this year? Where do you see the deposit interest rates? When do you expect the margins to peak?
Ali Tahan: Thank you, David. Starting with the first question, I mean, in terms of macro assumptions, we are mainly taking into consideration OVP numbers used by the economy administration actually. The only exemption to this situation is related to inflation. On the inflation side, we are taking into consideration Central Bank Market Participants Expectation. And that number is hovering around mid-20s for the time being. So that's the only different macro KPI's we are using compared to OVP numbers. Apart from the inflation, all the other parameters are simply deed from the OVP financials. With this in mind, in terms of the policy rate, we are expecting 800 bps rate cut from the Central Bank during the full year of 2026, so that the policy rate will be coming to 30% area by the end of the year. Of course, most of this rate cut is expected to be in the first half rather than the second half. But for the time being, January inflation came slightly higher than the market consensus. So in this manner, February numbers will be critical to see their action plan for the upcoming MPC meeting, which is scheduled for the month of March as they will skip the February MPC meeting. So with 800 bps rate cut and with the assumption that all the rate cuts will be also passing through the deposit rates. That's the level of adjusted net interest margin we are ending up with. In terms of quarterly evolution of net interest margin, we are expecting either second quarter or third quarter, we are expecting to see the quarterly highest level of net interest margin. And starting from Q4 onwards, there may be some decline from the peak level. But from quarterly evolution, we are expecting to see the peak level in terms of quarterly evolution either in the second quarter or in the third quarter. And one critical point we would like to emphasize is related to the fact that all the policy rate cut are fully reflected on the deposit rates. So that's also critical, we believe. I hope those are the answers to your questions. Please let me know if we are missing anything.
Unknown Analyst: I'm thinking in terms of volume growth, how conservative are you with your mid-20% Turkish lira loan growth assumption, please? On the lending side, we are aware that our private peers are also guiding relatively higher lending growth. But this is in this manner, very similar to last year. We are also starting the year with relatively conservative numbers. But depending on the competition conditions and depending on the appetite of other banks, we are reviewing. But conservatively, we are starting with a mid-20s Turkish lira lending growth. Similar to 2025, we don't want to lose any market share on the non-retail segment, especially. So if needed, if competition take us to that overall lending growth, especially on the non-retail segments may be higher than what we are guiding for the time being. But clearly, we don't want to share -- we don't want to lose any market share on the nonretail side. On the retail side, I mean, especially so far and last year and the year even before, private banks were quite aggressive. So that's the reason why we lost some market share on the retail. In this manner, we don't want to also lose market share on the retail segment also. But of course, the level of the competition will be harsh as well as the level of the regulatory caps are also important. But at least for the nonretail side, for sure, we don't want to lose any market share.
Operator: All right. So let's see. We don't have any more audio questions. [Operator Instructions] But for now Mr. Tahan if we can move to some of those written questions, please.
Ali Tahan: Actually, there are some written questions as you point out. Ece, will you read the questions, and I will try and answer.
Ece Seda Yasan Yilmaz: Actually, we have written questions and 3 of them come from Valentina. Thank you, Valentina. And she is asking the first question is related to in which retail segments you let market share go and what front of this? Can you share some color why you would like to grow loans this year? And also, the second question is related to key guidance metrics, especially NII, NIM trajectory and asset quality as well as ROAE. What's your target level and buffer for CET1 this year? And second question is regarding your issuing plans for this year. And last question, what's your FX liquidity compared with TRY 8 billion short-term FX funding and $23.6 billion total FX wholesale funding.
Ali Tahan: Thank you, Valentina. Let us start with the last one. In terms of hard currency liquidity, similar to sector actually, all the big banks in Turkey are enjoying the availability of hard currency liquidity quite ample. And as of today, we have a good coverage in terms of upcoming redemptions on the hard currency liquidity side. So hard currency free liquidity coverage ratio in terms of redemptions are holding almost 2x actually for the time being. So it is quite in good shape. This is also understandable by looking at hard currency ICR ratios. To the extent possible in terms of wholesale funding and liquidity management, we would like to go for relatively longer duration transactions. Therefore, IFI cooperations like some Asian names like World Bank Group or hopefully some European names, it will be quite important because of both ESG angle as well as because of the maturity and duration angle. All the funding channels are wide open for Turkish banks and to the extent possible, selectively, we would like to be much more active and concentrated on those 2 areas. One of them is related to IFI and the other one is related to DPR transactions with real money investors, which are also providing long-term maturity perspective. So DPR and IFIs will be the main topic in terms of wholesale. On the Eurobond side, we had 2 redemptions this year. One of them already materialized in the month of January, we had a redemption of $750 million senior unsecured actually. And on top of that, there will be one more in October with the amount of $500 million. But because of the additional focus on IFI and DPR. In our budget, we have only one public Eurobond issuance plan. And either in the second quarter or in the second half, we will be looking for the right window. We will be looking for the right possible window, but more focus will be on the long-dated DPR as well as on the long-dated IFI transactions with both of them with above 10-year final maturities. And some of those IFIs actually go even beyond 20-year final maturity, which is quite attractive from treasury management point of view. For the first question, let me summarize again in a nutshell, our full year guidance numbers. On the lending side, Turkish lira lending mid-20s hard currency lending single digit, net interest margin, swap adjusted net interest margin to be hovering around 4.5%, which was 3.4% in the year of 2025, which means we are expecting additional 110 bps improvement in our full year swap adjusted net interest margin. On the fee side, our fee income growth expectation is more than 40%. On the cost side, OpEx, our official expression is above the inflation. And for the net cost of risk, 150 bps full year net cost of risk. And all those numbers will take us to high 20s average number on the profitability side, and those are the numbers we are sharing. So Ece, we can move on to other questions.
Ece Seda Yasan Yilmaz: Thank you. We have 2 more questions, which comes from Mr. [indiscernible] and he is asking for the OpEx growth for 2026 and for any free provision for 2026?
Ali Tahan: Thank you, [indiscernible] On the free provisioning side, we didn't touch the free provisioning actually during the budget process to our free provisioning. So in our base case scenario, you can consider that this current outstanding amount of TRY 8 billion will remain unchanged during the entire year of 2026. No add up or no release from the free provisioning in our base case scenario for 2026. For the first question, I mean, conservatively, we would like to be on the -- above the inflation side. Of course, given the inflation number we are taking is the market survey expectation of mid-20s, you can also understand is above 30% because our international branch expansion is still going on. As you know, apart from our current branches in New York and Qatar, we are also opening branches in London, Dubai and Hungary. Those branch expansion, especially international branch expansion is going on. On top of that, there will be some IT additional investments so therefore -- and on top of that, structurally, even without such one-off items, bank's OpEx always grow above the inflation and above the CPI. So therefore, official expectation for the OpEx is above the inflation. But of course, it will be even above than 30% because of those additional items for 2026. I believe these are the final questions actually we are seeing on the written format. If there is no audio question, we may conclude actually, Rob.
Operator: Indeed. Thank you, Mr. Tahan. There's no more audio questions coming through. And if you don't have any more written questions, then we can conclude. Over to you.
Ali Tahan: Thank you. Thank you. Thank you very much to everybody. Together with Ece and the team, we will be at your disposal for any kind of follow-up questions. But for the time being, we would like to thank you, and thank you very much again for your interest and time.
Operator: Thank you so much, Mr. Ali Tahan. Thank you, speakers, and thank you, ladies and gentlemen, for your participation. This concludes today's conference call. You may now disconnect.